Operator: Good morning. Welcome to the SXC First Quarter 2017 Earnings Conference Call. Kyle Bland, Director of Investor Relations, you may begin your conference.
Kyle Bland: Thank you, Stephanie. Good morning, and thank you all for joining us to discuss SunCoke Energy's first quarter 2017 earnings. With me are Fritz Henderson, our Chairman, President and Chief Executive Officer; and Fay West, our Senior Vice President and Chief Financial Officer. Following the remarks made by management, we will open the call for Q&A. The conference call is being webcast live on the Investor Relations section of our website, and a replay will be available for a few weeks. If we don't get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn the call over to Fritz, let remind you that the various remarks we make on today's call regarding future expectations constitute forward-looking statements, and the cautionary language regarding forward-looking statements in our SEC filings apply to the remarks we make today. These documents are available on our website, as are reconciliations to any non-GAAP measures discussed on today's call. With that, I'll turn it over to Fritz.
Fritz Henderson: Thanks, Kyle, and thank you all for joining the call this morning. Before we discuss our first quarter results, we did announce this morning that we have terminated discussions with the Conflicts Committee of the SXCP Board regarding the proposed simplification transaction. And while this wasn't the outcome we were hoping for, I want to make a few points this morning. My first point is to thank you our investors. Unitholders provided feedback to the Conflicts Committee we monitored that information as you would expect we would and that was helpful for our Conflicts Committee. We received feedback from many of our SunCoke Energy shareholders both before and after the qualifying income regulations were finalized by the IRS and this feedback was helpful for us to understand how you were thinking about the proposed transaction both in terms of value and strategic rationale. We continue to believe in the benefits of the public combined structure for both SXC and SXCP stakeholders especially in light of the changes in the IRS qualifying income regulations but we are not able to reach agreement on exchange ratio with the Conflicts Committee and while disappointing party sometimes disagree. But we need to move on. So we have terminated the process with the committee. While we could reach agreement with the transaction, we do remain encouraged about the business going forward with several important initiatives in 2017 that remain our top priorities namely optimizing our existing assets, including the rebuilt project in the harbor and delivering against our financial guidance target. We do see opportunities in our Coke and Logistics businesses and believe our competitive advantages position us to capitalize on these opportunities and drive value for shareholders to unitholders prospectively. Shifting gears to the quarter Page 4, we continue to be pleased with the overall safety and operating performance of our Coke and Logistic assets, and continue to see sustained performance in the rebuilt ovens in Indiana Harbor. We finished up work on our 2016 oven campaign in the first quarter of this year and we are just beginning work now on the 2017 rebuild campaign here in April. As a reminder, we expect to complete approximately 53 ovens and to rebuild them as part of this year's oven campaign. We handled record volume at the Convent Marine Terminal in the first quarter with nearly 2.1 million tons of inbound throughput which contributed to a strong first quarter adjusted EBITDA for SunCoke Energy of $55.6 million. And lastly, with three months of the year behind us, we are well-positioned to achieve our fiscal year 2017 target. With that, I will turn it over to Fay to review the earnings in the quarter.
Fay West: Thank you, Fritz, and good morning everyone. Turning to Slide 5, you can see that quarterly EPS of $0.02 per share was up $0.08 versus the prior year period. This is driven by strong operating performance and the essence of non-recurring items that netted in the prior year period. Consolidated adjusted EBITDA for the first quarter was $55.6 million and was up nearly $12 million due primarily to higher volumes at our Coke and Logistic segments. The quarter also benefitted from lower corporate and legacy cost driven by the lapping of prior year legal cost, and the benefit of our coal mining divestitures. Turning to Slide 6, and taking a deeper look at our adjusted EBITDA results. Indiana Harbor's first quarter adjusted EBITDA loss of $3.1 million was down $4.9 million versus the prior year period. The quarter was impacted by the 2016 oven rebuild campaign which continued into February and resulted in lower volumes and higher O&Ms spend versus the first quarter of 2016. Additionally, as anticipated we continue to experience this degradation of the non-rebuilt ovens, which also impacted volumes in the quarter versus the prior year. Excluding Indiana Harbor, the remainder of the Coke business and balance performed as expected with various pluses and minuses across the fleet. Notably Brazil Coke was up $2.1 million due largely to the increase technology and licensing fees that were driven by the contract change, we agreed to ArcelorMittal in late 2016. Our coal logistic business had a strong start to the year and was up $7.2 million primarily due to the increased volumes of VMT which continues to benefit from attractive coal and support market. Our corporate and other segments, which now includes our legacy coal mining business benefitted from our coal mining divestiture, as well as the lapping of certain legal cost in the prior year period. Overall, with adjusted EBITDA $55.6 million we are off to a good start in 2017. Looking at domestic coke results on the next slide, first quarter adjusted EBITDA per ton was $53 and 948,000 tons of production. These results reflect the impact of lower production and higher cost at IHO and consistent results from the rest of our domestic coke fleet. We continue to see sustained oven performance from our 2015 and 2016 rebuild campaign. In 2017 rebuild campaign of 53 ovens is currently underway and we expect to work on the ovens relatively through November of this year. At Granite City, we are gearing up from major planned outage here in Q2 and expect that it will impact second quarter results. This outage was contemplated as part of our 2017 planned and we remained on track to deliver our full year guidance. Moving to Slide 8, in the quarter we had higher volumes in our coal logistics business year-over-year with approximately 3.6 million tons that are domestic logistics facilities and 2.1 million tons at Convent. On the domestic coal logistics side, volumes were slightly tempered due to mild winter weather, but we are tracking to our 2017 guidance, a 15 million tons for the year. At Convent, we earned $11 million of adjusted EBITDA in the first quarter and this doesn’t include the $3.2 million the deferred revenues that was recognized during the quarter. We remained on track to achieve our 2017 guidance of 8.5 million tons at this facility. If you need to move merchant volumes in the quarter albeit at slower rate than Q4 2016, but expect to achieve our 500,000 ton merchant target in 2017 through increased volumes in the back half of the year. As we look at our liquidity position for Q1, as you can see on the next chart, we increased our consolidated cash balance by $23 million and finished the quarter with $157 million of cash on the balance sheet. The key driver of this increase was the receipt of the second installment from ArcelorMittal related to their buyout of our preferred equity interest in the Brazil Coke entity. In total, we have over $325 million of combined liquidity. Looking at our capital allocation priorities on Slide 10, as the debt market remains attractive we expect to refinance our capital structure SXCP in the second quarter. Our goal is to push out maturities and maintain flexibility to repurchase the portion of our debt, all while keeping our borrowing cost reasonably flat. At SXC we are focused on allocating our free cash flow in the most sufficient manner for shareholders. While repurchasing SXC shares would also be attractive at today’s levels, we believe repurchasing SXCP units in the open market is the best use of SunCoke's cash. This provides highly accretive risk adjusted returns through its cash yield and tax synergies. Also, this is an asset we know and operate and we like this investments. We will continue to evaluate our return to ensure we optimize our capital allocation priorities. From the growth perspective, we will continue pursuing small organic projects and our tuck-in acquisitions to the extent of risk adjusted returns are attractive. With that, I will turn it back over to Fritz.
Fritz Henderson: Thank you, Fay. Wrapping up on Slide 11. The focus remains an operational execution, maximizing the capabilities and performance of our Coke and Logistics assets and executing against the oven rebuilt project at Indiana Harbor. We continuously evaluate opportunities to find the most attractive ways to deploy capital on behalf of SXC shareholders. Finally, we will again be focused on executing on our commitments to shareholders by achieving our full year financial targets and we remain on track to do so after a good start in the first quarter. And with that, we will open up the call for Q&A.
Operator: [Operator Instructions] Your first question comes from Lucas Pipes with FBR. Your line is open.
Lucas Pipes: Good morning, everybody. Again, so Fritz to say maybe a kind of pretty broad open question to start, when you think about SXC, where would you put the cost of capital for the business?
Fritz Henderson: That's a broad question. If you look at, you know, when I look at last night, looked at how we were trading in the market price of the SXC shares and SXCP units in the public market versus our EBITDA targets for this year. We are trading less than 7 times the EBITDA. And when you look at it for business that is stable like ours, and attractive like ours, we kind of look at it and we say for deployment of capital repurchasing units first and then second are attractive I mean, so I think in terms of - I will come back to your question which is more on our cost of capital but, in terms of using in deploying cash on behalf of shareholders it’s a very attractive use of cash to repurchase units and then shares respectively at these evaluations. Second, therefore, I think, the cost of equity when you look at the evaluation is pretty high. And but, that markets are attractive. So, I think doing the refinancing down stairs is absolutely the right thing to do in the second quarter which we are going to work on. The markets are attractive and we would like to achieve that, like to achieve our goals as they articulated. And then deploy capital on behalf of SXC shareholders in terms of repurchasing units and shares because the cost of equity is pretty high when you look at the valuation of the firm.
Lucas Pipes: Yes. I think that makes a lot of sense and maybe the follow-up on that point regarding purchasing units. Are there any limitations that maybe you should highlight in terms of volume or frankly capital as well. So, how quickly could you move towards purchasing units in the open market?
Fritz Henderson: As the chart showed on Page 10, we put in place an authorization of $50 million with respect to SXCP unit. We already have - we have a small authority remaining for SXC shares as well. I think that anything we would do, we would do in the open market that’s our expectation today, we do it 10B program. So, we do it in accordance with all applicable SEC regulation, obviously we needed to complete the dialogue with the Convent which we have done and terminated. And then issue our results, get our refinancing done and then consider putting in place the actions in the second quarter, but I think the size is driven by the authority we received from the Board. If you look at the cash printed $155 million and your backup $43 million is that the MLP, the parents $111 million and we have $44 million of net debt so we have quite a bit of dry powder in order to be able to execute this efficiently and prudently actually. So that’s how I think about the limit. Fay do want to add something.
Fay West: Yes, I would just add that under 10-B program you aren’t limited to kind of 25% of kind of daily volume trading so there is kind of limitation to what you could on daily basis?
Lucas Pipes: Got it. That’s great well I appreciate all the color and good luck.
Operator: Your next question comes from Brett Levy with Loop Capital. Please go ahead.
Brett Levy: Thanks. The Granite City average, can you sort of talk about how many days or any rough estimate in terms of either volumes or operating income impact or anything kind of a little bit more granular?
Fritz Henderson: So Brett this is Fritz. I would say it is a quite extensive outage it’s a little bit over 30 days. It was in our plan and it’s been comprehended in our guidance it will weigh on the second quarter. And that's really all I am prepared to say today I think we’re set up for it the work will begin, we’ve been planning the work in April, the work begins extensively in the first week of May. And we feel like we have a good plan lined up to execute within our budget.
Brett Levy: And you know no customer issues associated with that the customer sort of is?
Fritz Henderson: No we’re good.
Brett Levy: Everything sort of stocked up ahead and after and all that other good stuff.
Fritz Henderson: Yes customers I mean we’ve been - we obviously continuously communicate with the customer and we don’t anticipate any customer issues from this.
Brett Levy: All right. And then it looks as if you’re going to generate decent amounts of cash flow here. Any sort of growth CapEx plans or I guess where do you guys come out and sort of the buy or build or kind of expansion I know you have 80 million budget but sort of how much of that is growth and are you guys sort of looking for any other ways to expand?
Fritz Henderson: If you look at the 80 million of capital Brett you kind of break it down into big pieces $25 million is related to the execution of the Granite City gas sharing project and that work began in earnest in the first quarter. We had actually been doing a lot of work on it in preparation for it but it just began as we expected. The second largest chunk relates to Indiana Harbor and rebuilding ovens then we have normal amount of maintenance capital. The amount of growth capital we have about $3 million in to do some work at Convent in order to be able to facilitate unloading of barges and its actually quite interesting project to create optionality for us. I would say that we look at as Fay talked about in the chart, we’re looking at small organic projects and/or tuck-in acquisitions particularly around logistics value chain that would be modest that would be attractive, that would be price relatively attractive and give us options to grow particular logistics business. While we continue to look away to optimize our coke business is it right way to think about it. And then relative to valuation larger when you look at how we’ve been trading it’s hard for me to imagine anything larger that would be more attracted dynamic than our own units or shares.
Brett Levy: Makes sense. All right thanks very much guys.
Operator: Your next question comes from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Philip Gibbs: Just had a question on confirm generic on the Coke, the Coke stock levels in the North American supply chain right now and what's your view in terms of whether or not there maybe a little light given the fact that a lot of people ran down their inventories last year?.
Fritz Henderson: A better question for our customers but I’ll just give you my perspective of our three customers. We seen operating rate pick up across the industry and blast furnace utilization and across all the steel mills in the first quarter which has been helpful. You're right in saying that inventories have been depleted over time. I would say with respect to one of our customer and two of our customers that there’s still at least one of them is still continuing to reduce their inventory levels I’m not going to name the customer. And then one of our customers we think over time you could see things tightened but I would say that the environment has been a reasonably good one coming into the year. And we feel like it gives us opportunities as we look to the second half and into 2018 if things continue.
Philip Gibbs: I appreciate that. So it sounds like a little bit of a mixed bag company specific situations with the customers?
Fritz Henderson: Yes, you really need to look at a company specific it’s not a ubiquitous homogeneous market you got to look at it company specific.
Philip Gibbs: Given all the volatility that we’ve seen this year and basically the last 12 months with China having stopped capacity on coal re-up capacity, Australia having issues here and there and just reminds us about how much the global dynamics can really impact the price. Are you seeing any rush to look toward securing more mid to longer-term coal contracts with domestic suppliers to meet some of that volatility quite yet or we’re not going to be at that point for a couple of months?
Fritz Henderson: No we’re not seeing anything in that regard. I wouldn't necessarily think we’re going to see anything until we get to the third quarter under the normal timing of coal buy. Obviously that’s a decision to customers in consultation with us because we buy together. But nonetheless, we just - we’re not seeing it today in April so and your point of volatility is good one - in the end I think our customers generally go out annually and it's been a pretty good strategy to do over time is to go out annually. So we’ve not seen any change in that so far.
Philip Gibbs: All right Fritz, thanks very much for the comments. Good luck.
Operator: Your next question comes from Lee McMillan with Clarkson. Please go ahead.
Lee McMillan: Hi everyone. I just had kind of broader bigger picture question in terms of kind of where you go from here following the transaction being pulled, you still have the MLP qualifying income as you hanging out there. So where do you kind of go longer time with this do you work in getting moving reverse, do you take a different angle to consolidate in the structure. Can you give us any sort of just longer term strategy update on that? Thanks.
Fay West: So we do believe that we qualify for the 10-year transition period and so we think we've got some runway from now until as we are working through that to look at kind of our structure and optimize our structure. As far as are there any steps that we could take with - from the IRS or from a regulatory perspective or anything along those lines, I think that we are very limited in what we could do to reverse this ruling. I mean we are kind of an island on firestones as far as kind of coke making. And so I think we believe that would be very difficult at this point.
Lee McMillan: Okay. And then any other angle towards revisiting consolidation or anything like that or does it make sense to just sort of move the companies separate longer term?
Fritz Henderson: Lee we terminated the dialogue and we’re going to move on. We just have many things to do both downstairs at MLP and upstairs at the GP and we’re just going to move forward. Fact circumstances can do change in the future but that’s not on my list of things to do at this point. At this point it’s about executing against our goals, allocating capital wisely on behalf of shareholders to unitholders and trying to create value for both shareholders and unitholders respectively.
Lee McMillan: Okay, great. Thanks for the answers.
Operator: There are no further questions at this time.
Fritz Henderson: All right. Thank you again very much for joining the call this morning and for your interest and support in investment in SunCoke Energy. Thank you.